Operator: Ladies and gentlemen, we thank you for your patience. A good day, and welcome to the Tata Steel Analyst Call. Please note that this meeting is being recorded. All the attendees' audio and video has been disabled from the back end and will be enabled subsequently. I would now like to hand over the conference to Ms. Samita Shah. Thank you, and over to you, ma'am.
Samita Shah: Thank you, Kinshuk. Good evening, everyone, joining us from India and the Far East, and good afternoon to those of you joining us from the West. We are starting a few minutes late, and thank you for your patience. I'm delighted to welcome you all to this call on behalf of Tata Steel, where we will discuss our results for the third quarter of FY '26. I hope you've had a chance to go through our press release as well as the presentation, which is up on our website. And to help you better understand the performance, we will walk you through some of the details and obviously take any questions you may have. We have with us today Mr. T.V. Narendran, our CEO and Managing Director; and Mr. Koushik Chatterjee, Executive Director and CFO. Before I hand it over to them, I would just like to remind you all that this call will be governed by the safe harbor clause, which is on Page 2 of the presentation. Thank you, and over to you, Naren.
Thachat Narendran: Good evening, everyone. Sorry about the delay. So let me start with a few comments before I hand over to Koushik. The global operating environment remains complex with policy uncertainty and resource prioritization reshaping the interplay between geopolitics, social and market dynamics. At the same time, Chinese finished steel exports crossed 110 million tonnes for the second time in a row, which had a significant impact on the regional trade in steel as well as the global trade in steel. Steel prices diverged across the regions during the quarter and amidst this, Tata Steel has delivered a consistent performance with a consolidated EBITDA margin improving by about 300 basis points year-on-year for the 9 months ended 31st December 2025. India is a core market and the crude steel production rose about 12% quarter-on-quarter, and year-on-year, it went up to 6.34 million tonnes and -- year-on-year as well and went up to about 6.34 million tonnes. And the sales ramped up in line with the production and outpaced the domestic demand, taking quarterly deliveries past 6 million tonnes for the first time for Tata Steel in India. Along with the ongoing cost optimization, this helped offset the drop in net steel realizations on a quarter-to-quarter basis and delivered a 23% EBITDA margin during the quarter. Some of the segmental highlights are the Automotive and Special Products business delivered the best ever quarterly and 9-month volumes driven by rapid OEM approvals for the advanced steel grades from our Kalinganagar plant. The cold rolling mill and the galvanizing lines are ramping up very well. The auto downstream mix is now more than 50% at the 9-monthly sales level, reinforcing our leadership and preferred supplier position. We continue to strengthen our position in branded and in the retail segment. Our well-established retail brand, Tata Tiscon, achieved the best ever third quarter volumes, while our cold-rolled brand for MSME, Tata Steelium, grew 20% quarter-on-quarter, again, helped by the cold rolling mill in Kalinganagar. Our omnichannel model is deepening customer engagement. And with Aashiyana and DigECA, we achieved a gross merchandise value of almost INR 2,380 crores, which is 68% up year-on-year. Our commitment to product development and innovative solutions has helped secure internationally certified steel grades for oil and gas and shipbuilding. And we introduced mobile bore pile cages for the first time in India, offering a ready-to-use solution that enhances productivity and lowers project costs in challenging terrains. Our Tubes business achieved the best ever quarterly volumes on account of 0.3 million tonne capacity addition and a dominant share in the high-value infrastructure projects. We remain committed to the India growth strategy by investing in capacity, downstream facilities and sustainable steelmaking. And in relation to our recent announcements, I'm happy to share that we consolidated our stake in the Color-Coated business and completed the acquisition of the 50.01% stake in Thriveni Pellets Private Limited. Moving to U.K., our deliveries stood at 0.5 million tonnes, lower quarter-on-quarter due to the subdued demand and the U.K. steel safeguard measures due to expire in June '26. The framework needs to be revised to reflect the market conditions and narrow the policy gap with the EU. In Netherlands, the liquid steel production was broadly stable at 1.7 million tonnes with -- while deliveries were 1.4 million tonnes. Lower steel realizations were partly offset by better controllable costs and the sentiment in EU is improving, supported by the CBAM rollout and the expected safeguard revisions from June 2026. We also commissioned a new production line for packaging steel using patented Trivalent Chromium Coating Technology to enable sustainable and regulation-ready manufacturing. I will now hand over to Koushik for his comments.
Koushik Chatterjee: Thank you, Naren. Good evening to all of you who's joined in. I will begin with some headline financial performance data for the 9 months ended December 31, 2025, before moving to the quarterly performance. Firstly, our consolidated EBITDA increased by 31% year-on-year from INR 19,040 crores in the 9 months ended December 2024 to INR 24,894 crores in the 9 months ended December 2025. EBITDA margin expanded by 300 basis points, as Naren mentioned, from 12% to 15% and reflects a disciplined execution in an environment marked by macro uncertainty, currency volatility and persistently high finished steel exports from China. Secondly, our performance demonstrates the impact of the cost transformation program, which has achieved INR 8,600 crores in the 9 months of savings across geographies. To put it in context, on a year-on-year basis, lower steel realization across geographies led to an adverse impact of revenue of about INR 7,400 crores, which was mostly offset by higher volumes and declining raw material-related costs. In terms of execution, the cost transformation program has achieved 93% compliance to the internal plan. The deviation is primarily on account of extended consultation with the Central Works Council in Netherlands. In November '25, we reached a formal agreement on the employee restructuring social plan, leading to the recognition of a restructuring provision of INR 737 crores in the consolidated accounts under the exceptional items. At a geographic level, India continues to be the anchor of our performance with EBITDA growing at 12% year-on-year to INR 24,431 crores. The EBITDA margin was 24% and remains close to the 10-year average. Our performance in U.K. and Netherlands has improved materially on a year-on-year basis. U.K. losses have narrowed down by EUR 135 million to a negative EUR 170 million, while negative -- while Netherlands' EBITDA nearly tripled to EUR 210 million. Combined, U.K. and Netherlands' EBITDA turned positive for the period. Overall, improved profitability and effective working capital management has enabled us to generate operating cash flows of INR 20,500 crores before CapEx and dividend and a free cash flow of INR 5,640 crores, which is significantly higher than the 9 months ended December 2025. Moving on to the third quarter performance provided on Slide 24 of the presentation. Our consolidated revenues stood at INR 57,000 crores and EBITDA at INR 8,309 crores, translating to a margin of 15%. While steel realizations declined in India and Netherlands, they were more than offset by the benefits of our cost transformation program. Expanding on the cost transformation program, as a company, we have delivered an improvement of more than INR 3,000 crores during the quarter. India delivered cost transformation benefits of around INR 890 crores. Key cost efficiencies were driven by purchase optimization of spares, reduced refractory consumption, increased use of coastal waterways, which offer a structural cost advantage over the other modes of transport and higher power wheeling and leaner coal mix. U.K. outperformed their cost plan by achieving a benefit of INR 570 crores, driven by calibrated maintenance cost, stronger spares management discipline, in-sourcing of product testing and improved efficiency in natural gas and electricity consumption. Netherlands delivered a quarterly benefits of around INR 1,600 crores, optimization of coal blend leading to decline in procurement cost and deployed value news concept to improve operating efficiencies such as fuel rate, scrap consumption, et cetera. Let me now provide a deeper understanding of India, U.K. and Netherlands' quarterly performance. Tata Steel stand-alone revenues for the quarter stood at INR 35,578 crores and EBITDA of INR 7,940 crores. Excluding the FX impact, the adjusted EBITDA stood at INR 7,900 crores and was marginally lower on an absolute basis versus the quarter 2 of this financial year. As Naren mentioned, our volumes crossed 6 million tonnes for the first time in a quarter, and this, coupled with the improvement in cost has helped partly offset the drop in the steel realization on a quarter-on-quarter basis. Separately, depreciation and amortization has increased by 6% quarter-on-quarter to INR 1,826 crores upon capitalization of downstream facilities; example, the CRM complex in Kalinganagar and the Combi-Mill in Jamshedpur. Our wholly owned subsidiary, Neelachal Ispat Nigam Limited, recorded a INR 350 crore EBITDA for the quarter, up 35% quarter-on-quarter and reflecting an EBITDA margin of 22%. Moving to U.K. The local steelmakers are having to contend with weak demand, volatile input costs and cheap imports. Steel prices continue to hover around GBP 500 to GBP 510 per tonne and have been in contraction for the last 2 years. Steel prices continue -- existing steel safeguard measures are set to expire in June 2026 and revised safeguard framework is yet to be formally announced. In this context, our EBITDA loss has remained broadly stable at about GBP 63 million on a quarter-on-quarter basis. Conversion costs per tonne were largely maintained, demonstrating cost discipline despite the adverse impact of lower volumes on operating leverage. Separately, work is progressing on the 3 million tonne scrap-based electric arc furnace. Major demolition work has been completed and securing access to high-power electricity is critical for our planned transition. We are working with the electricity system operator and National Grid for the new electrical infrastructure, which remains critical for the project commissioning. In Netherlands, the third quarter EBITDA stood at about EUR 55 million, which translates to about EUR 39 per tonne. Impact of lower volumes and realizations were partly offset by the improvement in the costs to the tune of about EUR 21 per tonne on a quarter-on-quarter basis. TSN performance for the quarter reflects the partial impact of the U.S. tariffs. The U.S. business of Tata Steel Nederland was a high revenue and high-margin business catering to automotive packaging, et cetera. The levy of tariff to the tune of 50% weighed on the performance. Overall, we generated more than INR 10,300 crores of operating cash flow before CapEx, aided by profitability and tight working capital management. Of the cash flows, we spend on capital expenditure of about INR 3,290 crores with majority focused in India. Free cash flows for the quarter was about INR 7,054 crores and significantly higher than the second quarter. As a result, the net debt at INR 81,834 crores was lower by about INR 5,200 crores versus the end of previous quarter in September and lower by about INR 3,900 crores versus December 2024. Our net debt-to-EBITDA stands at about 2.6, well within the stated range of around 3x for the cycle. Managing regulatory complexities has now become a strategic imperative across geographies. Let me put this in context on Tata Steel Nederland. In the 9 months ended December 26, TSN generated an EBITDA of around EUR 210 million after considering the emission rights related cost of about EUR 150 million and adverse impact of the tariff from the U.S. at about EUR 50 million. Excluding these costs, the TSN EBITDA works out to be more than EUR 400 million or around EUR 93 per tonne. This illustrates the cost of burden currently borne by the EU steel producers. On January 1, 2026, the CBAM entered its definitive phase with carbon costs being embedded into imports and structurally improving the competitive landscape for the EU producers. The CBAM's definitive phase requires importers to verify embedded emission intensity. Verification is expected to take time and importers who fail to verify will face carbon costs calculated using the default values by the country of origin. Separately, EU intends to revise its safeguard measures from June 2026 by reducing the product quotas and raising the duty for imports beyond the quotas from 25% to 50%. The effectiveness and timing of the CBAM effect and the trade-related quotas will determine how quickly the imports retreat from the EU market and the utilization of the local steel industry increases, which will have positive implication on the price regime. Before I close, I would like to reiterate our commitment to create a sustainable long-term value. India remains our core growth market, and we are scaling upstream as well as downstream capacity. In December 2025, we had outlined our India plans, including the strategic partnerships with an eye on the raw material security and growing markets in Western and Southern India. At the same time, we are progressing with the transition of the U.K. and Netherlands operations to a more sustainable operating models. Our capital allocation will be prioritized, optimized and sequenced across geographies to ensure consistent returns over time. With that, I'll end my presentation and open the floors for questions. Thank you so much.
Operator: [Operator Instructions] The first question for today is from Vibhav Zutshi of JPMorgan.
Vibhav Zutshi: First question is on Europe. Now some of the European players have come out with very strong commentary on pricing. ArcelorMittal has actually raised April delivery prices to EUR 700 per tonne, which is another EUR 60 higher than spot. Just want to understand how sticky and sustainable could these be? Because it looks like demand is still weak, but like you mentioned, expectations are around higher utilization levels as imports start to come down?
Thachat Narendran: Yes. I think when you look at what's happening in Europe, while the demand has been quite stable around 130 million tonnes for the last few years, imports have gone up to about 30 million tonnes. And as Koushik mentioned, the quotas that have been announced are going to halve those imports to about 15 million tonnes. So that's going to happen by June. And in addition to that, you have the CBAM, which has already started, and the CBAM has an impact on the import prices as well. So if you're selling into Europe, even in this quarter, you'll have to factor in the CBAM prices and the impact of CBAM on the prices. And then on top of that, you're going to have a reduction in imports. And that's what is getting reflected in steel prices going up in Europe in the continent. So we -- over the last 2, 3 years, we have seen the European prices move more towards the Asian prices, but -- and increasing the gap with the U.S. prices. But because of these actions, we expect that prices in Europe will move away from Asian prices and move towards the U.S. prices. It may not reach the levels of U.S. prices, but certainly we will move closer to that.
Vibhav Zutshi: Okay. That's helpful. Second question is on India. Firstly, congratulations on the improving leverage ratios. Just want to understand now the broad time line for all the capacity expansion, NINL, this 2.5 MTPA Meramandali and any indication that you can provide for the Maharashtra greenfield? And also how to think about debt as CapEx would likely accelerate from now on?
Thachat Narendran: Koushik?
Koushik Chatterjee: Yes. So I think in December, when we said that we had the in-principle approval of the consideration of the Board for the NINL expansion. We are working on it. We are maybe weeks away from getting the environment clearance. And once we get that, our basic engineering ordering is in progress. So I guess it will take about 40 months -- 35 to 40 months when we get into that execution level. I think it is also important to mention that we will get to the FID in the next couple of months. So that will stitch in as far as this expansion is concerned. Maharashtra is slightly longer term because it is at the enabling level, and we will have to get into the project and the DPRs, et cetera. So that's slightly longer, but that is -- parallel work is happening in terms of the planning and conceptualizing it. And as far as the Meramandali expansion is concerned, we have to get the EC clearance. So the first one is the NINL. The second one is the Meramandali and the third will be the Maharashtra or Kalinganagar expansion, whichever we are ready with. So that's the frame -- time frame or rather the sequence. The time frame will depend over the next 3 years or 5 years. The second point -- part of the question that you asked about debt, I think we've said that, that broadly, we would like to be up to about 3x net debt to EBITDA. And that actually, it is -- sometimes when you have cyclical issues, we move to 3.2. When in better times or when we are able to generate more cash flows, it comes down as you see, now it's 2.6. So that's the kind of range. We will not bust that range because we have a strong pipeline of CapEx, which are productive. There is a program for also the downstream projects, as we mentioned last time, the HRPGL has got approved, Tinplate is underway. Bluescope, we have completed now. And we have more downstream in the long products segment, including on wires, which are being worked on. So it is in that range of the balance sheet that we will work in the mid-cycle. Cycle becomes much better, then we will recalibrate. But effectively, the pace of growth will also be calibrated to that extent. I hope it clarifies.
Thachat Narendran: Yes. And to add to what Koushik said, we also have the Ludhiana plant coming up in the next couple of months.
Operator: The next question is from Sumangal Nevatia of Kotak Securities. Sumangal, we are unable to hear you. We request you to please send in your question via chat or rejoin the queue. We will now move to our next question. The next question is from Satyadeep Jain of AMBIT Capital.
Satyadeep Jain: First question on Europe. What is the status now on U.K., the safeguard, what discussions are you having with government? Is there any progress there? And secondly, on that front in Europe, given CBAM and the emissions have not been verified for a lot of importers, what is the trend in imports? Have they significantly reduced in Europe given the uncertainty on verified emissions so far?
Koushik Chatterjee: So -- shall I go ahead?
Thachat Narendran: Yes, yes. Go ahead, Koushik.
Koushik Chatterjee: So as far as U.K. is concerned, as I've said in the narrative and in the previous narrative also that we are deeply engaged at all levels to get the safeguard and quotas out. We are hopeful that it will happen soon. We know it is progressing, and we are encouraged by that. But unless it happens, it has not happened. So I think we are looking forward for that safeguard because it is in the interest of the U.K. domestic steel industry all around, not just us, to ensure that we have the recalibration of the quotas and the safeguards. It is also important for U.K. to do that in the context of the fact that EU has come out with the quotas and with their steel action plan. And therefore, there is a need to harmonize it. So that is work in progress. As far as the CBAM is concerned, I think it's very early days just now because there was some amount of stocking that happened pre-December. But we will have to get -- that's why I mentioned that the effectiveness of the CBAM, we will have to see as to how the imports reduce because the default rates are high at this point of time. So the first year default rates are significantly high. For example, in case of China, it's about 3.1. In case of India, it's about plus 4.2, 4.7. So I think we just need -- we need to see as to how it works. As Naren mentioned that irrespective of the demand condition, there will be an uptick in prices because arithmetically, it has to work in that manner. And then comes the steel action plan. So there are 2 very fundamental regulatory triggers in EU, which will push up the prices. And as Naren mentioned, it will have an effect of pushing it towards the U.S. prices, may not be exactly the same, but it will also develop. And the -- if you look at the markup in the CBAM, it is 10% markup in 2026. It's 20% markup on 2027. So till the verification happens, the markup keeps increasing. So technically, the prices will -- should increase. The marginal cost, so fundamentally, what's going to happen post the steel action plan comes in, in June, July is that the marginal cost of the new supplies, either beyond quota or within the EU, which are the capacities which are shut down, which will come at a marginally higher cost, which will also have a cost push element on the prices. So we are certainly expecting that the price buoyancy to remain in the EU for a longer period of time.
Satyadeep Jain: Secondly, on India, I just wanted to seek your comments on the budget proposal for National Waterways 5 in Odisha linking Kalinganagar to Paradeep. What is -- I know these projects can be -- can take long. What's your expectation there in terms of time line and impact on cost? And does it -- if it comes through, does it make you rethink your decision to look at Maharashtra or -- because many players are also actively considering staying on East Coast, including ArcelorMittal also has announced a plan on greenfield plant on the East Coast. If that comes through, would that change your decision anyway or...
Thachat Narendran: So if I can comment on that. Firstly, Maharashtra is in addition to our plans for the East Coast. It's not in place of any plans because if you look at our own plants on the East Coast, between the Kalinganagar complex that we have in Neelachal, which is across the road, we have the opportunity to build about 25 million tonnes of steel capacity there, which is today at 9 million, 8 million in Kalinganagar and 1 million in Neelachal, right? So that opportunity exists. And this water way that they're talking about will help that site. Then you have the Bhushan plant in Meramandali, which can go up to 10 million. So in Odisha, we have the opportunity to go up to 35 million as against the current 14 million, right? So that stands. Maharashtra is in addition to that. Maharashtra gives us optionality on the iron ore in Maharashtra. Maharashtra gives us optionality to service markets, Western markets and Southern markets. Waterways, India is one of those countries where waterways account for a very, very small percentage, almost negligible percentage of logistics. Whereas if you look at most other geographies, whether it's the U.S., whether it's Europe, whether it's China, a lot of material, including steel, a lot of steel moves on the waterways. And I think the government's ambition is to create a network of waterways, and we are glad that they picked this waterway, which is close to our Kalinganagar site because we think it will help us in bringing down the logistics cost, which, as you know, in India is still higher than what it is in other countries. And one of the reasons is the mix because in India, there's a higher mix of road compared to other geographies. There's a lower mix of waterways compared to other geographies. And having more waterways is certainly going to help the logistics cost. But I think we don't have a time line yet. I guess it will take some time because it means creating the infrastructure. It also means dredging, so to make it an all-season kind of waterway. You also need to have handling facilities, barges. So there's a lot that needs to be done, but we are happy that it's on the radar of the government.
Operator: The next question is from Pinakin Parekh of HSBC.
Pinakin Parekh: Sir, my first question is on U.K. The losses in the U.K. operations are relentless, and there does not seem to be any policy support coming through. So how should we look at U.K. over the next few quarters? There's a safeguard in India, there's CBAM in Europe, but there's nothing in U.K.?
Thachat Narendran: So yes, it's like this. In U.K., a lot of actions have been taken by the team. We have ourselves reduced our fixed cost by more than GBP 400 million in the last 2 years, almost GBP 500 million. So I think in terms of cost takeout, all that could be taken out has largely been taken out. As Koushik explained, it is a problem because of the fact that the quotas in U.K. are higher than the demand in U.K., and that's what the government is expected to revise and more so because of the actions taken in the EU. So we've been promised that these revisions will happen soon. You must also realize that the U.K. government itself is invested in the steel industry because of the steel plants that they've taken over. So when the steel industry is losing money, it directly hurts the U.K. government as well. So we are hopeful that some actions will be taken in the market because obviously, with these levels of quotas and these prices, it's obviously not looking good from an EBITDA point of view. What has happened because of the actions we've taken, as Koushik said, the EBITDA losses have halved. It is still there. And we expect it to keep improving because of the actions we are taking. But it will not become positive till there is some action from the U.K. government on the imports or the steel prices go up in U.K. So I think we are more expecting that some actions will be taken in the next few weeks by the U.K. government. And once it happens, hopefully, we are on track to make sure that U.K. is on positive EBITDA territory. But yes, it is a challenge. But given the actions being taken in the U.S., in Europe, in India and elsewhere, we expect the U.K. government also to be taking this action. So Koushik, do you want to add to that?
Koushik Chatterjee: No, I think that's perfectly fine. I just wanted to tell Pinakin that we also have some actions being planned up. But I think fundamentally, because we will also looking at building a new plant, and therefore, we don't want to do anything which will affect the long term. And therefore, we are also looking to ensure that the assets run at the most optimal ability and the conversion cost continues to be in a manner where we can be competitive post the build of the EAF. So I think just now, we are looking for more external policy support as an industry.
Pinakin Parekh: So just continuing on that, Tata Steel has -- so it is doing everything it can, but it is facing the twin problems of making an investment while having EBITDA losses. On the policy perspective, you would expect support from the government on the existing steel environment, and I assume there would be policies related to the CapEx. So would the company at some point of time, wait for the policy to fructify before stepping up on the CapEx? Or will the CapEx continue irrespective of whether there is any immediate support from the government?
Koushik Chatterjee: So if I may just try to articulate. See, the -- once the EAF is built, our cost structure will be different. So when our blast furnaces were running, our cost structures were high. We transited to plan for the EAF because the cost structure would be lower than what we were running at. We are at an intermediate phase where we are buying the substrate and then kind of working on the conversion cost. So the point is if we were to not progress with the EAF, we are going to delay that transition into a more profitable unit. So I think there is no upside in delaying the investment. There is -- on the other hand, if all factors are aligned -- and here also, we depend on the National Grid for the electricity connection and also our own internal projects for getting it done. But if the quicker we can convert it to that stable state, at least we will be in a better cost position, better working capital position, not cutting slabs and rolls from all over the world. So we have done that analysis and scenarios, and it makes sense to continue to do the project, take the money which the government has given. It is a participant. And based on that, that's the basis on which we continue to execute the project at this point of time. And in the longer term, we hope that the government for its own requirements, as Naren mentioned, is also a big participant now, a direct owner or a controlling entity of the rest of the steel industry in the U.K., is also very mindful of the fact that this bleed needs to stop, not just for us, but also for them. And it's -- I hope it is in a matter of weeks now.
Pinakin Parekh: Got it. And just lastly, with the safeguard duty in place in India, the price hikes that we have seen in India in the spot steel market between December and 1st of Feb, is it fair to say that the December quarter EBITDA per tonne was probably the low till the safeguard duty is in place?
Thachat Narendran: Yes. I think December quarter prices, particularly the first part of the quarter was probably the lowest in the last 5 years for flat products and pretty low for long products as well. So in some sense, that was the bottom as far as the prices are concerned. So yes, we expect better numbers this quarter. But we should keep in mind that coking coal prices are also going up. So we are conscious of that. But steel prices are certainly coming back to the levels where it should be because it used to be at a discount to import landed. Now it is caught up with import landed and maybe slightly better.
Operator: The next question is from Prateek Singh of IIFL Capital.
Prateek Singh: So the question is regarding a bit more strategic regarding the fixed cost takeouts in India and the medium-term human resources plan. So how are we preparing for the mines expiry, if any, in 2030? Any plans to move to an MDO model for mining in the medium term to smoothen the employee transition? I understand we mine much more than our peers, and there is always an element of contractual costs as well. But I think our stand-alone employee costs would be higher than that of our largest peers in the operations and that of the largest listed iron ore miner in India combined. So is there any way to get a sense as to what percentage of India employee cost is on mining? And how are we planning to do this transition over the next 4 years?
Thachat Narendran: Yes. So I'll maybe give it a shot and then Koushik can supplement, right? So firstly, I'm not sure if our mining costs are much higher than others, et cetera, because we run a very, very efficient mining operation, both for coal and iron ore. If you look at Tata Steel's legacy cost, a lot of the legacy costs are in Jamshedpur, right? So if you look at the cost structure, the demographic profile of our employees in Kalinganagar and other sites, it's much better. So we don't have those legacy costs. As Tata Steel grows more and more in Kalinganagar, Meramandali, et cetera, the impact of the legacy cost in Jamshedpur keeps coming down. And plus we are addressing the legacy cost in Jamshedpur. So -- because of these actions, the cost disadvantage we may have in some sites vis-a-vis peers will keep reducing. So -- and we will be doing this, obviously, in an accelerated way until 2030. That is one part. The second part is because of the fact that all our sites are within 200 kilometers of each other, we have some advantages of scale because if we are moving to 40 million tonnes, 45 million tonnes, all of that is going to be producing about 200 kilometers from each other. And that gives us a lot of advantages on scale economies, et cetera, which will also help us negate some of the impact of post 2030. Thirdly, as we mentioned earlier, our move into Maharashtra, move into recycle-based steel in North and West, et cetera, are also actions that we are taking to mitigate the impact. And fourthly, the move into downstream basically looks at how do we improve the mix, how do we get better realizations, so on and so forth beyond all the cost takeouts that we are planning. So all these are expected to mitigate the impact of any cost increases that we will face in 2030. So this is broadly the plan, and Koushik, you can add to that.
Koushik Chatterjee: Yes. I'll just add 2 points, Prateek. One is the fact that we are not going to exit captive mining. We have mining reserves, which are opening up. And therefore, the mining as an activity will continue for Tata Steel. MDO as an option will always remain, and we will be looking at certain opportunities if the MDO remains. We have also now the BRPL, which will be in that space also if required. So I think the transition planning for 2030 has already started. We are looking at various alternatives. As Naren mentioned, even Maharashtra is an important alternative. So the manpower cost is not so much of an issue. We also do a lot of contract workers in there. So it is not that we are very heavy. But in the sense -- because from a cost point of view and cost of ex-mines iron ore for us at this point of time is possibly one of the lowest. I think it is not at all high compared to the rest of the industry. And with more mines opening up, be it Kalamang, Koira, [ Gangulpara ], et cetera, we will be redeploying people and reworking on how we can ensure that the transition costs are minimized.
Prateek Singh: Understood. So I understand that there would be no way to get a very ballpark sense as to what percentage of entire employee cost is on specifically mining operations?
Koushik Chatterjee: I don't have offhand. Maybe we can do that later.
Prateek Singh: And the second question is largely on Europe. As an earlier participant mentioned earlier as well that prices have risen quite a bit, $750 per tonne from $650-odd a few months back. So I wanted to understand the nature of our contracts? With what kind of lag do we see these prices coming up to our P&L?
Koushik Chatterjee: So contracts are about 35%, largely in packaging, which is not in the -- packaging is one area where there are 1-year contracts, 6 months contracts. Automotive is the other. Automotive has its own cycle. I think 2026 calendar will, at different points in time, see -- that's the point I mentioned that the benefits of the EU domestic prices will depend on the effectiveness of the CBAM as well as the quotas, both together. So I think the full impact of that will come gradually and not in one jump. And I think the estimation is that it will -- there is an opportunity for almost about EUR 100 per tonne increase in prices over the full year. So we just need to watch the space and see. All said and done, if there is a euro on the table, our colleagues in Netherlands will certainly work to ensure that we get it. But it will happen in -- at least in 2 stages. One is CBAM now. And secondly is when the tariff comes in post June 2026.
Operator: The next question is from Vikash Singh of ICICI Securities.
Vikash Singh: Sir, my first question pertains to Netherlands. How much of the carbon credits we have as a percentage of overall requirement right now? And since in the last call, you said that your emission levels are already closer to 1.6. Does that mean that whatever carbon credits we have, these are surplus because -- or we still have to pay some additional or buy some additional carbon credits?
Koushik Chatterjee: So the reference point -- I'm using the CBAM part. So the reference point for CBAM for EU domestic producers is 1.37. So if it is 1.37 and we are producing about 1.66 or 1.68, there is a gap, and there is a free allowance that comes in. So the net of that, we have to buy. So I think we need to -- we still will be buying and we will continue to buy until we do the transition because the reduction in free allowance is going to happen from this year to 2032 or '34.
Vikash Singh: Noted, sir. And sir, second question regarding your outlook on the price increase on the 4Q, if you could give us that?
Thachat Narendran: Price in India or Europe or?
Vikash Singh: All -- both geography, India, Netherlands, price and the cost, especially the coking coal cost changes.
Thachat Narendran: So I think the guidance we're giving is in India, the prices quarter-on-quarter will be about INR 2,300 higher. On a spot basis, of course, hot-rolled to hot-roll will be much higher. But I think when you look at the mix and you look at some of the contracts, et cetera, that we have, we see an improvement of about INR 2,300 per tonne. In U.K., it's going to be maybe about GBP 5 higher or so. In Netherlands, while again, on a spot basis, it is going to be higher on a hot-rolled coil, but because of the mix issues that Koushik referred to, because of the fact that the packaging contracts are getting renegotiated, et cetera, we're seeing a quarter-on-quarter reduction of about EUR 30, EUR 33 per tonne Q1 to -- I mean, Q4 to Q3. But having said that, we expect Netherlands to more than offset this reduction in realizations because of cost takeout. So we expect an EBITDA expansion in Netherlands, slight improvement in EBITDA in U.K. also because of the fact that we expect Netherlands to be selling almost 400,000 tonnes more in Q4 compared to Q3. And India will also see an EBITDA expansion because the coking coal cost impact is going to be about $15, but the benefits that we have from the prices, et cetera, and also the volume will be slightly higher. The mix is going to be better in India as well. So overall, we expect EBITDAs to be better in Q4 compared to Q3. Volumes to be almost 0.5 million tonnes better in Q4 compared to Q3.
Operator: The next question is from Pallav Agarwal of Antique.
Pallav Agarwal: So I just want to check with CBAM coming in, some of the exports that are going to Europe [Technical Difficulty] into India and pressurize domestic prices?
Thachat Narendran: Exports from where? From India to Europe?
Pallav Agarwal: From India to Europe.
Thachat Narendran: You mean as an industry? Because Tata Steel doesn't sell much into Europe. We send slabs to U.K. for our plant. But otherwise, we are not a big exporter of steel to Europe. Maybe some of our peers are, but I don't think that volume will be so significant as to make an impact in the domestic market in India because the demand is pretty strong in India. So last couple of quarters, there was a little bit more ramp-up of capacities because our capacity ramped up and a few others. But now there's better balance in the domestic market. And so I don't expect that to have an impact on prices in India.
Pallav Agarwal: Sure, sir. And any volume guidance for the next year for FY '27?
Thachat Narendran: That we'll give you at when we -- because we are in the process of finalizing our plan, so we'll give you that guidance in the next analyst call.
Pallav Agarwal: Lastly, are there any premium products in the U.K. or Europe that can actually come into India despite the safeguard duty? Is there any opportunities in the Indian market for that?
Thachat Narendran: No, I think the competitiveness will not be there from -- if you look at the costs in Europe and the prices in Europe, it doesn't make sense to ship from there to India. But what we are certainly doing is working very closely together in many areas because there are many applications that we have in Europe, particularly in the construction industry, which we are bringing back to India from the experience that we have. There are, of course, some special products which come from U.K. For instance, IKEA, when they build their warehouses, the roofing sheets actually come from one of our U.K. plants. So there are these kind of specialized requirements, but not very significant volume.
Operator: The next question is from Aditya Welekar of Axis Securities. Aditya, we are unable to hear you. We request you to please send in your question via chat or rejoin the queue. We will now move to the next question. The next question is from Ashish Kejriwal of Nuvama.
Ashish Kejriwal: Two questions, one in Europe and second in India. India, is it possible to share how much price drop we have seen in Q3 versus Q2 and as well as how much coking coal cost reduction we have witnessed in Q3?
Thachat Narendran: So for India, the price drop was about INR 2,100 Q3 compared to Q2. We had guided INR 1,500, but the market was softer, particularly in October, November. Prices started going up only towards the middle of December. In terms of coking coal, I think consumption cost was up by $4 for India compared to -- Q3 compared to Q2.
Ashish Kejriwal: And secondly, is it possible to share U.K. conversion cost? Because what we understand is that U.K., even if government gives support and steel prices increases, obviously, our slab prices will also increase. So -- and the cost takeouts, which we have already taken and most of the efficiencies we have already taken place in terms of cost reduction. So what kind of government measures we are trying to look at to make EBITDA positive in U.K. And secondly, in Europe also, while you are guiding a reduction in prices because most of our contracts starts from Jan, and we have witnessed price -- spot price increases. So even if the entire price increase will take into account for the entire year, but how we are going to see the reduction in prices in Netherlands in fourth quarter? And at the same time, when you are saying that cost reduction will help in offsetting all the price decline and EBITDA will expand, this is on account of only cost reduction or when prices increase, can we expect higher EBITDA?
Thachat Narendran: So I'll let address it -- Koushik address the U.K. question. So in Netherlands, what's happening is it's a little bit more of a mix issue than a price issue. The price at the hot rolled coil level is going up. I think -- because firstly, we don't do so much on spot basis. So -- but it's going up by about EUR 20, EUR 25, Q4 to Q3. Where we are getting hit a bit is the packaging -- 2 things are happening on packaging contracts. Firstly, there's a renegotiation of packaging contracts because of new contracts. And then there is a price drop, right? The second thing which is happening is a lot of volumes of packaging used to go to the U.S., which is now -- the volumes are being cut to the U.S. So that volume, which does not have so much of a market in Europe is being sold in, let's say, engineering grades and other grades. So from a mix point of view, there is a dilution. So this 33% is more a mix dilution impact than a price drop impact. So it's more a mix impact. But there are -- like I said, the cost takeouts are going to be more than this, and hence, we expect the EBITDAs to get better. But going forward -- as Koushik said, going forward, we expect this momentum on prices to keep getting better going forward in Europe, and that's why we are more bullish about the prices in Europe for this calendar year. So that's where I want to comment on Europe. Koushik, do you want to comment on U.K.?
Koushik Chatterjee: Yes. So I think very broadly, if you look at the price drops that has happened over subsequent quarters or years actually in U.K., U.K. average price at a point in time used to be well over GBP 900. So we -- I think it's a question of looking at this -- and U.K., we now at this point of time, have multiple downstream products. So there is Tinplate, there is Color-Coated, there is Automotive, Tubes, et cetera. So what we are looking at essentially is if the quotas are in place and the tariffs are in place, then the spread will increase. And I think that spread increase of, say, GBP 75 to GBP 80 would be good enough for us to look at increase in the profitability to make it neutral. Ideally, if the right quota is in place in a similar manner in EU, the price increases should recover to somewhere around GBP 100 per tonne plus, and that will help in the profitability significantly.
Ashish Kejriwal: So sir, you mean to say that at a spread of around GBP 100 per tonne, we will be breakeven?
Koushik Chatterjee: Delta, from where we are today.
Ashish Kejriwal: At what spread we will be breakeven at U.K. level?
Koushik Chatterjee: So I'm saying today, wherever the spread is, that spread has to expand by about GBP 100 per tonne to make it a profitable entity.
Operator: The next question is from Indrajit Agarwal of CLSA.
Indrajit Agarwal: I have 2 questions. First, when are the next auto contracts renewal due in India? And what kind of price increase can we look over there?
Thachat Narendran: I can't give you a guidance on the price increase, but certainly, prices will be higher. We expect it to be higher to reflect what's happening in the spot markets. Contracts are due for renewal in April. I think the next set of new prices will be effective April. So we are not seeing the benefit of auto prices this quarter. Whatever we see this quarter is a benefit of the spot orders.
Indrajit Agarwal: And these are now quarterly pricing contracts, right?
Thachat Narendran: Largely, yes. Auto is now largely quarterly contracts. Sometimes you may negotiate 2 quarters in one shot, but it's typically a quarterly contract in India.
Indrajit Agarwal: Sure. That's helpful. My second question is on spot basis, what are the spot prices -- steel prices and coking coal cost versus the 3Q realization that we had?
Thachat Narendran: In India, you're asking?
Indrajit Agarwal: Yes, both in India.
Thachat Narendran: Coking coal, like I said, on a consumption basis will be about $15 per tonne higher Q4 compared to Q3. And like I said, on a mix basis, $2,200. But if I were to look at the hot-rolled coil, I think it will be about INR 3,500 higher.
Indrajit Agarwal: No, I want to check that you will have some inventory and some inventory in transit for coking coal as well, right? So let's say, if I were to look at 1Q, would there be a further, let's say, $10, $15 increase, 1Q '27?
Koushik Chatterjee: Indrajit, it is -- what he's saying is on consumption basis.
Thachat Narendran: Consumption. What I'm saying is on consumption.
Koushik Chatterjee: That takes the stock into account.
Thachat Narendran: Yes. So -- if I look at purchase, purchase is actually $22 higher, Q4 compared to Q3, but the consumption is $15 because of what you said. You have materials in transit and things like that. So if you're looking at, some of this will flow through into the next quarter.
Operator: The next question is from Sumangal Nevatia of Kotak Securities.
Sumangal Nevatia: So first question is on the volume growth headwind -- headroom, sorry. So I just want to understand, given our rated capacities, what is the potential volume we can achieve in the next 2, 3 years without the NINL? And I believe Koushik mentioned NINL would take around 40-odd months. So am I right in expecting commissioning of that not before FY '30?
Koushik Chatterjee: FY '29.
Thachat Narendran: Yes. Sumangal, what you need to look at -- if you look at next year volumes, while we give the specific guidance when we do the next analyst call, next year, we will not have any major blast furnace relines. This year, we've lost a significant volume because we had a blast furnace relining scheduled in Jamshedpur. So we won't have that. So that will be a positive for next year. Second thing is we'll have the Ludhiana plant starting up maybe by the middle of March, okay? So that's also a plus that we will have. Thirdly, which is not in the absolute volume, in terms of mix, you will see significant improvement because of the cold rolling mill, the galvanizing lines, the Combi-Mill in Jamshedpur, all this is ramping up in the second half of the year. So next year, you'll see the full year of the benefits of all this. So these are the areas where we see some benefits for next year at least as far as India is concerned. But we'll give you more specific guidance when we do the next analyst call.
Sumangal Nevatia: Understood. But I mean, mathematically, 2 million to 3 million tonnes is the headroom before the next expansion kicks in. Is that right? And I mean, I'm just comparing with a few peers who are much more aggressive in expansion. So is a market share loss over the next few years, is it a point of worry or consideration for us in evaluating all the expansion plans?
Thachat Narendran: So there are a couple of comments that I want to make. Firstly, the way we approach an expansion plan has now changed. We first get all the environment clearances and everything else before we get the FID done because we find that, that gives us more definitive time lines. And hence, let's say, in Neelachal also, as Koushik said, once the EC comes, we could have said last year itself that we are expanding, but then there's no EC, so there's nothing you can do till then, right? So we will -- so that's one thing that's a change that we think. Second thing is, as we said earlier, there is a lot of focus on increasing our downstream capacity and our product mix. And generally, in Tata Steel, we always look at, "Can our market share in attractive segments be twice the market share in our overall market share?" So if we are a 15%, 20% market share player in attractive segments, we should be at least 40% or more, right? So that's what we chase because that gives us a better realization, better product mix, less vulnerability to cycles. So that's why, let's say, whether it's auto, whether it's oil and gas, whether it's a retail business, or now more and more downstream, which is -- so our downstream mix, for instance, now we are moving towards 1 million tonnes or more than 1 million tonnes of tubes. We are -- we've just approved some expansion in wires. We are about 700,000, 800,000 tons of wires and that too very high-end wires. So I think these are the areas we will focus on. We will be looking at market share, but we will more looking at market share in the right segments, the attractive segments, more quality conscious and less -- segments less vulnerable to cyclicality. So -- but yes, we have the runway to grow, and we will continue to grow.
Sumangal Nevatia: Understand. That's very helpful. One question on -- I mean, there's a lot of news flows with respect to thyssen and a few of -- one of Indian peer evaluating it. Just want to know your view on how do you see industry structure changing there? Any consolidation anywhere we are looking to participate in any form and how does it change the market?
Thachat Narendran: No, I think in Europe, we are focused on transformation, transforming our facilities, as Koushik just explained some time back. In U.K., the transformation -- I mean already, there are a lot of cost takeouts and the transformation will put us in a better cost position. In Netherlands, it's more about driving more cost efficiencies. And again, the impact is already visible, but we need to do some more of it and then do the transition. So we are focused on these 2 sites and making sure that they are on the right place in the European cost curve. But the second point is, I do believe that in Europe, there will be supply side restructuring simply because anyone whose blast furnace is up for relining will think hard before relining a blast furnace, right? I mean, probably they will not reline a blast furnace and not everyone who has a blast furnace up for relining will have the ability to invest in new facilities, right? So that depends on your balance sheet. That depends on the support you get from the government, et cetera. So I do see some sort of supply side restructuring. There will be bigger players who have the ability to invest in the transformation. There will be some who will not have the ability to invest in the transformation. And so when their blast furnaces come up for relining, you will see some restructuring on the supply side, which helps the overall market dynamics in Europe. So that's why given CBAM, given quotas, given the supply side actions that happen in Europe, we do see Europe looking more attractive in the next few years than it was in the past few years.
Operator: The next question is from Rajesh Mazumdar of 360 ONE Capital.
Unknown Analyst: Sorry to harp on the Netherlands a little bit more, but I just had a question that are we to assume that the price increases we are seeing there are going to be a pass-through? Or are there any costs that we should be cognizant of in terms of the environment, something that is there more in the CBAM or what we already -- from what we're already paying or any other change in the cost from what it is there right now? I know that you have contracts at all. But ultimately, the price increase should pass through in terms of the bottom line? Or should there be any other cost that we should be aware of?
Thachat Narendran: It should, but I'll let Koushik answer that.
Koushik Chatterjee: Yes. No, the price increases that are looked at on account of CBAM and tariff are pass-throughs. There wouldn't be any impact on additional costs. In fact, these CBAM cost is a compensation of the cost that we pay vis-a-vis the imports that come in. So therefore, it is more, if I may say, a reimbursement of the cost that we pay. So I think that is how we should look at it. And the quotas are effectively related to the imports that are happening. So that has no additional cost implication from us as such. So short answer is -- the answer is no in terms of any relatable cost on this. There are other cost factors that are there in EU, but those are unrelated.
Thachat Narendran: In fact, if at all, we are focused on cost takeouts, which, as you're aware, has been effective in the last 1.5 years and will continue to be so going forward.
Unknown Analyst: Sure, sir. Also, there is a class action lawsuit filed against Netherlands in December by an environment-related company. What is the status of that? And is there any development on that front?
Koushik Chatterjee: So that has been filed, as you know, by a foundation or a trust, which is backed by professional litigation financiers. And it is kind of a suo moto class action, which is currently in the phase of -- there is a 3 months or 4 months phase during which we are required to submit our defense, and that's the process that is currently going on. And we are obviously looking at it carefully and seriously to ensure that we can put in what is actually the truth on the ground. So that is in the initial phases at this point of time.
Unknown Analyst: My second question was on the Color-Coated business. What is your target capacity in this business because that is a high value-add business where I think the realizations can be quite significantly higher. So what is the kind of capacity you're targeting in this business and over what period of time?
Thachat Narendran: Koushik, do you want to answer? Or Samita?
Koushik Chatterjee: Samita, you want to do that?
Thachat Narendran: Yes.
Samita Shah: The current capacity is around 600 KT. And the idea is to actually also change the product mix more favorably in the Color-Coated business. We are obviously doing a lot of retail, but the idea is to increase that further. So there will be an improvement in the overall product mix. And in the next stage, we will then evaluate capacity expansion in this business.
Thachat Narendran: I think the -- what it does is apart from giving us the ownership of the JV, which was there, it also frees us up from some of the JV kind of conditions, which limited our opportunities to get the most out of all the color-coating lines that we got when we acquired Bhushan. So there is an opportunity for us to make better use also of the lines -- some of the lines which were underutilized because we were restricted to participate in the construction market other than through the JV. So I think there are a lot of advantages we are seeing. And obviously, beyond debottlenecking and increasing production, we will work on the product mix. We will also want to scale up. We have an opportunity to also expand in Kalinganagar as a downstream. So there are multiple options. We also have an opportunity or an option in Jamshedpur, where we have a 250,000 tonne line to convert the metal coating into color coating. So there are many options that we have and our object -- or our aim is to actually double the profitability of the business in the next year or 2.
Operator: The next question is from Prateek Singh of IIFL Capital.
Prateek Singh: Any update or how are we going ahead with the Hisarna pilot project? I understand that Nucor also is looking into it. And I think the Department of Energy also proposed a funding for this pilot project. Can we expect any such thing by the Indian government as well in our case?
Thachat Narendran: Go ahead, Koushik. Go ahead, go ahead.
Koushik Chatterjee: So I think -- so we -- as we mentioned that it is fundamentally a Tata Steel IP, and we will be looking at -- we are looking at doing it in Jamshedpur. Yes, the conversations with Nucor is happening at this point of time. And -- but this is something that we will set it up in Jamshedpur. Nucor, the mechanism or method of participation is under discussion. And then we will see as to when we can go post the engineering work, which is commencing, then we go for the FID to develop this plant in Jamshedpur.
Thachat Narendran: And yes, we will, of course, work with the government if there are any opportunities to get some support. But largely, the value we see in this project is you have far more flexibility in use of raw materials. You don't need to have a sinter plant, a pellet plant, coke plant, et cetera. The CO2 that you emit is far more amenable to carbon capture and utilization. And we've been working on this for more than 10 years, and we worked along with Nucor in running the pilot plant in IJmuiden quite successfully for the last 2, 3 years. So we are very bullish about the prospects of this project. And as Koushik said, we'll be setting it up in Jamshedpur.
Prateek Singh: And given the expansion that we are seeing in the data center space, government also announcing tax holiday, any plans for electrical steel like CRGO because I think the transformer industry has been kind of complaining for some time that India is short of electrical steel capacity. So any plans there?
Thachat Narendran: So there are 2 aspects to what you said. Data centers don't -- data centers in itself offers a lot of opportunities for steel because of the fact that the buildings will use steel, the storage racks and everything else will use steel. So there is a focused effort on looking at what can we supply to the data centers and what are the steels that we can develop and provide. So I think that is one part of it. The second part, yes, CRGO is part of our plans. We are assessing it. Most likely, the plant will come up in Jamshedpur, but we are still looking at various aspects of it. So we are working on it.
Prateek Singh: And just one last question. Can we get a number of overall deliveries from Europe because there might be intersegment deliveries as well between U.K. and Netherlands?
Koushik Chatterjee: No. There are not too many.
Prateek Singh: If we can just add them up and take it.
Koushik Chatterjee: Yes, there is some amount of slabs, which goes to the U.K., but it is not material. I mean it is not the biggest part of their transfers.
Operator: Next question is from Siddharth Gadekar of Equirus Securities.
Siddharth Gadekar: Just on the European side, if we look at the OECD capacities, they are around 213 million tonnes, 215 million tonnes, while Europe production has been in the range of 130 million tonnes, 140 million tonnes. So any sense of how much is the effective actual capacity in Europe? And over the next 5, 6 years, given that everyone will have to transform -- or go for the transformation journey, what would be the effective capacity in the next 5, 6 years that would be there in Europe?
Thachat Narendran: So -- just a minute. Yes. So capacity is a very -- sometimes a very misleading kind of number, right? I mean how much of that 220 million tonnes is produced steel and when is a question to ask. So to me, generally, in Europe, you will see that production is roughly around 130 million tonnes. There is exports and there is imports. And imports has largely been about 30 million tonnes, exports has been around that level. So that's been the balance, right? Second part is a lot of these capacities are very high-cost capacities because if you look at the European cost curve of production, there are efficient or low-cost plants like some of our plants, some of the ArcelorMittal plants, et cetera and then there are high-cost plants. And those are the ones which tend to get mothballed and even in terms of some of them are inland, logistics costs are higher, so on and so forth. So we -- like I said, if the quotas are reduced, that means more capacity will come on, but those capacities which come on or mothballed capacities which come back on are higher cost. And that's why we believe that our plant in IJmuiden is well positioned to have the advantage of higher prices in Europe. That is one. Secondly, like I said, I think any blast furnace due for relining in Europe, people will think hard. I don't think anyone is going to reline a blast furnace in Europe now. So it's more a question of run it as long as you can. And then if you have the ability, invest in a new process route. So that's where I feel there will be -- over the next 5, 10 years, there will be a fair amount of restructuring on the supply side in Europe. I think we're already seeing that. Even some of the bigger guys have announced closures of some of the blast furnaces and not necessarily replacing all that capacity with the new process routes.
Siddharth Gadekar: But then is it fair to assume that over the next couple of years, we can see if things stand where they are, demand outpacing the production, that would be there in Europe?
Thachat Narendran: No, I don't see demand growing -- demand will grow. So what's happening in Europe is given the intention to spend a lot more money by European countries in Europe, we do see a pickup in infrastructure spend, particularly led by Germany. We do see increase in defense expenditure. I'm not even counting what happens if the Ukraine war stops and there's reconstruction there, right? So even as it is, we do see growth in some sectors. But there is also a bit of degrowth in some other sectors. For instance, if, let's say, we were exporting a lot of automobiles from Europe to the U.S., some of that may get impacted, right? So you will have some volumes dropping, some volumes increasing. But overall, I don't see demand growing very significantly. I don't see it shrinking. It will go up maybe 5 million tonnes, 10 million tonnes at best, right? But it's more the supply side, which we are talking about, both from imports being limited to domestic capacities also going through this transition either to new process routes or closing down blast furnaces.
Operator: I would now like to hand over the conference to Ms. Samita Shah for closing comments. Over to you, ma'am.
Samita Shah: Thank you, Kinshuk. I think we have answered all the chat questions which have been asked. We'll not raise them again. Thank you very much for joining us today, and we look forward to connecting again with you all next quarter. Thank you.
Thachat Narendran: Thank you. Thank you, everyone.
Koushik Chatterjee: Thank you very much.